Operator: Good morning ladies and gentlemen and welcome to the JetBlue Airways fourth quarter and full year 2010 earnings conference call. Today's call is being recorded. On the call today is Dave Barger, JetBlue's CEO and Ed Barnes, JetBlue's CFO. On the call for Q&A is Robin Hayes, JetBlue's Chief Commercial Officer. As a reminder, this morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to the company's annual and periodic reports filed with the Securities and Exchange Commission. At this time, I would like to turn the call over to Dave Barger. Please go ahead, sir.
Dave Barger: Thank you, Christine. Good morning everyone and thank you for joining us today. This morning we reported fourth quarter net income of $9 million or earnings of $0.03 per diluted share. For the full year of 2010, we reported a net income of $97 million or $0.41 per diluted share, an improvement of $36 million compared to full year 2009. We're very pleased with our year-over-year progress, particularly in light of significantly higher fuel prices and the challenges we faced in the first half of the year as we transitioned to a new reservation system and we operated without the benefit of JFK airports most important runway at our home base of operations in New York. Our crewmembers are the reason behind our success in 2010. In addition to successfully transitioning to a new reservations system, we worked hard to enhance our liquidity, optimize our network, maximize revenue and maintain our costs advantage. These actions resulted in record revenues and one of our most profitable years in our company's history. Our 2010 results reflect the hard work of everyone at JetBlue and I'd like to take this opportunity to thank our 13,000 plus crewmembers for helping us achieve these strong, impressive results. Our 2010 results include a $29 million profit sharing path to be paid to our crewmembers in March. Throughout 2010, we maintained a strong liquidity position. We ended the year with approximately $1 billion in unrestricted cash and short-term investments, or 25% of trailing 12 months revenue, which reflects our continued solid financial health and stability. Given the volatility and the price of fuel and the uncertainty that presents, we believe a strong cash balance remains important. In addition to maintaining strong liquidity in 2010, we generated $225 million of positive free cash flow, which we define as operating cash flow less capital expenditures. We continue to work with our aircraft manufacturers to reduce our capital expenditures, a critical component of the past two positive free cash flow. In 2010, we announced a deferral of 16 Embraer 190 aircraft and 16 Airbus 320 aircraft. These actions substantially reduced our aircraft commitments in the near term, helped smooth our future debt and pre-delivery deposit requirements and better matched our network demands with our order book. In 2010, we generated record revenues of $3.8 billion, up 15% year-over-year, reflecting the benefits of an improving demand environment and increasing mix of business customers and revenue improvements enabled by our transition to SABRE. Last years average runway fare of $141 is an 8% improvement over 2009. We believe that our 2010 unit revenue growth of 7.6% was particularly impressive given our capacity growth of 6.7% during the same period. Capacity growth typically puts downward pressure on unit revenues. Instead, we were able to increase capacity in Boston and the Caribbean, while simultaneously growing unit revenues. We were especially encouraged by the improvement in higher yielding business traffic throughout 2010, driven primarily by our transition to SABRE and changes we made to our Boston network and schedule. Ancillary revenues continued to be an ongoing focus for JetBlue as well. When we combine all of our ancillary revenue reported in the passenger revenue line with those in the other revenue line, total ancillary revenue in the fourth quarter was about $20 per passenger and grew roughly $35 million or 8% during the full year of 2010 as compared to 2009. This increase was driven in large part by our even more legroom offering which generated over $85 million of revenue in 2010. As we further enhance our even more legroom offering, we expect this to continue to be a very important source of revenue for JetBlue. In 2011, we expect our ancillary revenues to increase approximately 20% year-over-year. Keep in mind that last year we had voluntarily waived fees in connection with our transition to SABRE, which should favorably impact year-over-year comparisons. In 2010, we seized on opportunities in the competitive landscape and improved the strength of our network. We acquired coveted slots at Washington's Reagan National Airport and opened six new destinations from Boston. With this and other actions, we increased capacity in Boston by 30% versus 2009. By next summer, we expect to offer 100 daily Boston departures, further solidifying our position as an important leading carrier. We also continued to build on our success in the Caribbean and Latin America, where our visiting friends and relatives or VFR traffic complements a strong leisure traffic base. This VFR traffic has helped us better manage the seasonality of our business, improving overall revenue performance. In 2010, we launched service to Punta Cana, our fourth destination in the Dominican Republic, where we are now the largest carrier as measured by SM's. In April this year, we expect to be the largest carrier in Puerto Rico as we continue to take advantage of changes in competitive landscape to bolster our position. We plan to increase departures from San Juan this summer by 30% year-over-year. As part of this effort, we plan to begin new service from San Juan to both Jacksonville and Tampa in May. During the fourth quarter, the Caribbean and Latin America were the best performing region in our network as measured by year-over-year unit measurement growth, even while we added significant capacity. In addition, our Caribbean destinations generally require minimal upfront capital and despite limited daily operations are relatively low cost and consistent with our free cash flow goals. In 2011, we expect roughly 25% of our ASMs will be in the Caribbean and Latin America. In 2010, we continued to expand our network through Airline partnerships as we began connecting customers with American Airlines, Emirates and South African Airways. Together with our partnerships with Aer Lingus, KFare and Lufthansa, we now offer our customers the opportunity to book travel to hundreds of destinations in six continents. With our invaluable slot portfolio and new terminal at JFK, arguably the most important gateway in the world, a strong network, superior product and low cost, we believe will well position to serve global carriers. Airline partnerships continue to play a key role in JetBlue's growth strategy and we remain focused on our expanding partnership footprint even further. To that end, we expect to announce a new relationship with another carrier next month. In addition, we plan to begin interline sales on our Web site, JetBlue.com later this year which should drive additional revenue. During 2010, we continued to enhance our product offering for business travelers. As a result of our transition to SABRE, business customers can now benefit from real time connectivity in the GDS channel. In addition, we began offering pre-boarding for our EML customers and introduced several new refundable fare priced points. These actions increase flexibility for our business customers and improve our corporate travel penetration. Heading into 2011, we continue to make investments and improving our customer’s experience. An experience that we believe that is unrivaled in the industry and well deserving of our sixth consecutive JD Power award for service excellence. We are investing in the improvement of our technological capabilities, allowing us to continue to expand our product offerings, improve airport technology and retain our product leadership. Looking ahead, higher fuel prices will certainly continue to present a challenge. We believe however, we're well prepared to successfully navigate high fuel prices and volatility. We believe our fuel hedge program, which Ed will discuss in more detail helps to reduce the impact of price volatility. We also remain committed to maintaining a competitive cost structure, which we believe is very important in a high fuel price environment. Moreover, we believe we can take advantage of our low cost structure and seize upon opportunities in the competitive landscape. In addition, we believe the industry needs to pass some of the burden of high fuel prices to customers. We are encouraged by recent industry wide fare increases, which have helped, offset some of the impact of rising fuel prices. To that end, we recently implemented a $35 one-way fuel surcharge in our Puerto Rico markets and a $45 one-way surcharge in our Caribbean markets. While we have more work to do to position our airline so that we're consistently driving profitability and positive free cash flow on an annual basis, we've continued to take important steps to better position us for long-term success. During this past year we strengthened our solid financial foundation by focusing on prudent deployment of capital, cost discipline and revenue maximization. Our networks strategy is generating solid revenue performance and we'll continue to make prudent investments in our product. We believe our outstanding crewmembers and unique culture will provide the foundation for continued success in 2011. While many challenges undoubtedly lie ahead, our profitability over the past two years demonstrates that we are certainly headed in the right direction. We expect 2011 will be another successful and profitable year for JetBlue. And with that, I would like to turn the call over to our CFO, Ed Barnes for a more detailed review of our financial results.
Ed Barnes : Thank you Dave. Good morning everyone and thanks again for joining us today. As Dave said, we are very pleased with the results we reported this morning. Our entire team has done a tremendous job running a great airline. I would like to take a moment to thank all of our crewmembers for their efforts during a very busy year. The actions we have taken to build our brand, control growth, bolster liquidity and strengthen our financial position has helped us to meet the challenges of this industry. We reported fourth quarter operating income of $57 million, a decrease of $8 million year-over-year. Driven primarily by a $58 million increase in fuel expense and a $30 million reduction in revenue due to the December storm in the North East. Overall, our operating margin for the quarter was 6.2% We earned record revenues during both the fourth quarter and full year, driven by a strong revenue environment and the ongoing development of our network strategy and revenue initiatives. Fourth quarter passenger unit revenues increased 7.4% compared to a year ago. Yield during the fourth quarter was up 4.1% and load factor was up about 2.5 points on 7% more capacity. As we previously disclosed, our fourth quarter revenue results were significantly impacted by the December storm. And our revised counting treatment of expiring true blue points. Overall, we were very pleased with our fourth quarter revenue performance, especially during trough travel periods, an area of significant focus for JetBlue. We believe improving revenue performance during off-peak travel period is key to sustaining new growth. In October, which is generally an off-peak travel period for JetBlue, PRASM increased 9% on 13% more capacity. November revenue results were weaker than we expected at the beginning of the quarter, primarily due to lower yield during the Thanksgiving travel period. Our strategy to progressively hold out for yield during peak travel periods, which had worked nicely through most of 2010 did not materialize as well as expected. As a result, we lowered fares and to increase load factors pressuring yields.  While not up to initial expectations, November PRASM performance was still quite strong, up 10% year-over-year. In fact, our stage length adjusted year-over-year PRASM growth in November surpassed the industry average, even as we added more capacity. In December we continued to increase load factor at the expense of yield in the face of wide spread industry discounting throughout the December holiday period. Before the storm hit in the North East, at the end of December, we were tracking to meet the lower end of our fourth quarter PRASM guidance range of 10 to 12%. Although winter storms in the North East are certainly not unusual, the timing of this storm, which blanketed the North East with more than two feet of snow at the beginning of a compressed holiday period, magnified the impact. While we generally have a strong ability to recapture revenue when we cancel flights during weather events by re-accommodating customers on other flights, our ability to re-accommodate customers during this event was very limited, due to record load factors. Given our strong leisure focus, the week between Christmas and News Years is typically one of JetBlue's most profitable weeks of the year. As a result we lost significant revenue from cancellations during this period. Turning to cost performance for the quarter, operating expenses increased $115 million or 15% on 7% more capacity. This increase was driven largely by 58 million in higher fuel expense. Fuel remains our most significant cost, comprising one third of total operating expenses for the fourth quarter. While the price of jet fuel has increased by about 30% compared to last year, we believe we are well positioned in an environment of rising fuel prices with a young, fuel-efficient fleet. In addition, we continue to actively manage our fuel hedge portfolio to help mitigate price volatility. For the fourth quarter we hedged 45% of our fuel consumption and recognized about $3 million in fuel hedge gains, which lowered our fourth quarter fuel expense by about $0.02 per gallon. Including the impact of fuel hedging and taxes, our fuel prices for the fourth quarter was $2.42 per gallon, up 16% from $2.08 per gallon last year. For the first quarter of 2011, we have hedged approximately 37% of our anticipated jet fuel requirements using swap agreements, call options and collars. For the full year of 2011, we are hedged about 32% using primarily call options and collars. The underlying details of our hedge positions are more specifically described in our investor update, which will be filed later today. Based on the forward curve as of January 21, crude is averaging about $93 per barrel for the full year of 2011 and the crude heating oil crack spread is averaging about $18 per barrel. Including the impact of hedges and taxes, we're estimating a fuel price of $2.84 per gallon in the first quarter and $2.89 for the full year. In addition to hedging fuel and maintaining a competitive cost structure, we have raised fares in select markets to help offset some of the impact of rising fuel prices. As Dave mentioned, we recently implemented a $35 one-way fuel surcharge in our Puerto Rico markets and a $45 one-way fuel surcharge in the Caribbean. Excluding fuel, our fourth quarter unit cost rose by about 3.6% year-over-year, which was in line with our expectations and guidance. The two areas that continue to see the great cost pressures are salaries, wages and benefits and maintenance expense. Salaries, wages and benefits increased roughly 6% per ASM on a year-over-year basis, driven primarily by over time related to December storm and higher wage rates resulting from the increasing majority of our crewmembers. Our maintenance expense for ASM increased approximately 20% year-over-year, which is primarily attributed to the gradual aging of our fleet as more aircraft came off warranty. Sales and marketing expense increased 23% year-over-year, due to more bookings through the GDS channel, which comes at a significant yield premium. In addition, we launched a new advertising campaign in the fourth quarter. Moving below the line, interest expense decreased 8% year-over-year, or $5 million due primarily to lower interest rates and lower debt levels. Our total debt at the end of the year was $3 billion, down roughly 270 million from the end of 2009, reflecting our commitment to strengthen our balance sheet through debt reduction. We have also continued to take action to improve our liquidity. We ended the year with unrestricted cash and short-term investments of approximately $1 billion. Here in the fourth quarter we repaid approximately $55 million in debt and capital lease payments. Our scheduled principal payments from debt and capital leases are expected to be about $40 million, first quarter of 2011 and roughly $185 million for the full year. We continue to take a measured approach to our capital spending by making sound investments we believe will position JetBlue well for the long-term. JetBlue ended the year with 161 aircraft. In 2011, we expect to take delivery of four A320s and five E-190s. Specifically we plan to take three A320s and one E-190 in the first quarter, two E-190s in the second quarter, one E-190 in the third quarter and one A320 and one E-190 in the fourth quarter. I'm pleased to report that we have committed financing in place for all of the aircraft we are taking this year. In addition, we plan to return one leased E-190 in the second quarter. With regard to CapEx we spent approximately 50 million on aircraft CapEx and 15 million in non-aircraft CapEx during the fourth quarter. We estimate Capital expenditures of about 515 million in 2011, of which 390 million relates to aircraft, and 125 million to non-aircraft related expenditures. Our non-aircraft CapEx includes 50 million related to LiveTV. Over the past couple of years we spent a great deal of time focusing on managing and moving on our debt maturities through the combination of structuring new transactions, as well as prepaying existing obligations. With manageable net maturities and capital commitments in the upcoming year we believe JetBlue is positioned to maintain strong liquidity in 2011. We expect to end the year with cash as a percentage of trailing twelve months revenue with approximately 25%. While we are comfortable with our current cash position, we are committed to the continued vigilance in driving additional balance sheet improvements going forward. Before turning to 2011 guidance, I would like to announce some changes that we plan to make to our disclosure practices as we begin a new year. These changes relate to our revenue guidance and monthly traffic releases. Given our compressed booking curve and limited visibility into the revenue environment further out, we have decided to discontinue issuing quarterly and annual revenue guidance at the beginning of each quarter. Instead we'll provide revenue expectations roughly every six weeks. On each earnings call we plan to provide our PRASM expectations for the current month and the following month. During the third month of each quarter, we will provide PRASM expectations for the quarter. So today we will provide our PRASM outlook for January and February and in March we will provide our PRASM expectations for the quarter. As a result of our continued expansion in Boston and the Caribbean, we plan to grow our ASMs between 7% and 9% in 2011 versus 2010. Of course we'll be watching fuel prices and market conditions very closely. As we have done in the past, we will take prudent action to maintain our strong financial position and mitigate risk. As you recall, we reallocated capacity from our transcom markets to the Caribbean ahead of escalating fuel prices in 2008. Fortunately our size allows us to be more nimble and quickly adjust capacity should market conditions warrant. In the first quarter we have reduced our schedule to accommodate new pilot training related to the six A320s we released from GCAS in the second half of 2010. As a result, we expect first quarter capacity to increase between 1% and 3% year-over-year. We expect significantly more capacity growth after the first quarter as we ramp up into the busy summer travel period. Turning to the revenue outlook, we are pleased with the trends that we are seeing at this point. We continue to be encouraged by the success of our initiatives to improve revenue performance during a shoulder period by attracting higher yielding customers, particularly in Boston. Rescheduling optimization enhanced pricing capabilities and better connectivity in GDS. We also continue to see significant unit revenue improvements in the Caribbean and Latin America. However, we do expect our year-over-year PRASM comparisons will get more difficult in February and March as compared to January. We currently expect January PRASM to be up about 11% year-over-year. And we estimate February PRASM to increase between 9% and 11% year-over-year. Looking ahead to March, we face a difficult comparison versus last year when PRASM increased 14% year-over-year. March of 2010 had the benefit of an early April Easter, which we will not have this year. Given our VFR and leisure focus, along with strong North East Florida traffic, the Easter Passover holiday trend tend to have a greater impact on our us compared to many of our peers. We continue to focus on the cost side while at the same time making prudent investments in our business. We expect better cost performance in 2011 as many of the one time cost pressures we faced in 2010 dissipate and we're able to focus on running a more efficient operation. However, fuel prices will certainly pressures costs. We expect ex fuel CASM in the first quarter to be up between 3% and 5%, and CASM all end increase 11% to 13%. For the full year we project CASM will increase 8% to 10% and next year CASM will be down, up 2%. In closing, 2010 was one of the best years in JetBlue's history. Our results reflect outstanding work by our crewmembers, particularly in light of challenges and investments we made this year. While the near term environment continues to be marked by volatile fuel prices, we believe we have the right tools in place to successfully navigate this. And with that, Dave, Robin and I are happy to take your questions.
Operator: Thank you. We will now begin the Question-and-Answer session for investors and analysts. We'd like to ask everyone to please limit themselves to one or two questions with a brief follow-up so we can accommodate as many as possible. (Operator Instructions). The first question comes from Michael Linenberg from Deutsche Bank. Please go ahead.
Michael Linenberg - Deutsche Bank: Oh hey, good morning everyone. I had two questions here. From, I think Dave in your comments you talked about the improvement in the higher yielding business customers through the build up of Boston and complementing New York and also the transition to SABRE. Can you provide us with any sort of metric? Do you have like a percentage of close end bookings or maybe full wide passengers? I mean, what that number is, maybe what percentage of that mix for you today versus maybe a year ago? Any data on that would be helpful?
Dave Barger: Good morning, Michael. This is your first question so the higher yielding business customers, I think the headline really, Boston our plan is working nicely and the balance of the Embraer with the Airbus to really offer the frequency, with the 100 seat platform. And what we're doing with the investments and the network and just the sponsorships marketing in Boston. I think it's working quite nicely with the business customers. We're still at a macro level, 15% to 20% of our traffic is core business. We know that it's higher than that. I'm not going to add color to where we think that number is but it's trending quite nice. In Boston Mike, and as we work with Massport in Boston, with our current operation and we're very hopeful about plans to continue to expand into all of Terminal C. We're really excited about what we're seeing in Boston. We're adding that level of capacity but we're seeing unit growth outstrip. It's racing ahead of what the capacity we're giving up in Boston up 30% year-over-year. We're going to be up another 20% this year on a year-over-year basis. We're very excited about what's happening up there.
Michael Linenberg - Deutsche Bank: Okay, and then just my second question. When we look at guidance for capacity. The 1% to 3% in the March quarter. Ed, I guess to Ed, you indicated that that was maybe a bit of a pull back to re-accommodating some of the pilot training on new airplanes? But you're still sort of targeting the 7% to 9%. Can you give us a feel for how that ramps up through the year and the fact that that also coincides with what I believe is going to be a lot higher fuel price just based on the guidance that you've given us? We could be looking at a sizable capacity growth in the second half of the year with some of the highest fuel prices. You would think that at those levels, at that level of fuel prices, all things being equal that that would maybe be a catalyst to maybe rethink those higher growth rates? But I don't know what the growth rates are until you provide me some color on what you think the capacity will be in the second half, if you can do that? That would be great.
Ed Barnes: Well, I think Michael, you probably need to take a look at our delivery schedule which will be in our investor update but obviously, slight pullback as you mentioned in the first quarter. We did indicate that we're going to be watching fuel prices and general market conditions on our capacity for the second half of 2011. So it's about all the color I can give you at this point. Obviously we're going to continue to pound Boston and the Caribbean with that additional capacity. So it's going to be very focused investments.
Michael Linenberg - Deutsche Bank: Okay. Okay. Very good. Thank you.
Dave Barger: Thanks, Michael.
Operator: The next question comes from Jamie Baker from J.P. Morgan. Please go ahead.
Jamie Baker - J.P. Morgan: Hey guys.
Dave Barger: Morning Jamie.
Jamie Baker - J.P. Morgan: Hey David, I don't want to shift the focus away from JetBlue but I do want to discuss GDS and online agencies. You're obviously aware of what's going on at the industry level. Obviously at one time you didn't participate in the GDS, now you do but you're somewhat unique at having a direct connect model. I guess I'm just curious whether distribution savings are something we should think about longer term for JetBlue? And what impediments, if any, does your current connectivity result in, in terms of being able to unbundle the product, push EML through corporate agencies and so forth? Any thoughts on this sort of hot industry topic at the moment?
Dave Barger: Yes. Thank you. Good morning Jaime. I'll also key Robin up for comments as we lead Robin into the mix with Q&A. Obviously you have met and Robin's met the analysts in the past as well. I think to headline this direct model, that hasn't changed it's right in the fabric of our DNA since day one and even with the conversion to SABRE and as we're in the GDS world, the OGA world and I mean, the direct model certainly has not changed. Granted, we've seen percentage shifts over a period of time but I think again headline, that's not going to shift for us. Robin, color on the GDS environment. What's happening in the landscape.
Robin Hayes: Sure. Good morning, Jaime. I'll show business through the GDS channel, while it's significantly grown it's still a small slice of the pie. We remain and continue to remain a largely consumer direct business. So to some extent we don't have the same skin in the game as some of the more traditional airlines have. I would say as far as GDS is we've seen a strong yield premium from the distribution that we have added to some of the corporate agency channels. We still have the capability to add EML to that channel. We can do that within the GDS infrastructure. We don't need direct connect for that. I think the online travel agents, we said before, the jury is still out. We are not sure how much of that distribution is truly incremental and so a lot of focus from us on making sure that channel, if we're going to participate in it, is at the right level of cost for us.
Jamie Baker - J.P. Morgan: Got it. And as a follow-up, USAir identified yesterday a year-to-date improvement in the booking environment. They believe potentially related to corporate budgets now being in a new year, having reset versus 2010, which reflected budgeting from 2009 when the world was ending. You had mentioned your pursuit of higher yield traffic last November didn't quite work out as hoped. I'm wondering if you're seeing anything year-to-date that's similar that might otherwise rekindle your optimism in terms of sort of the pursuit of the last minute booking?
Robin Hayes: Just to clarify it. The issue we had last November was really linked to more of a leisure fares over Thanksgiving that we were hoping to get, that didn't come in. Our performance during the first half of November, as we start to build the business base, was extremely strong. As we look forward, I would describe myself as being positive about the outlook, the industry has absorbed a lot of fare increases. Not all of them have started with a significant amounts of as we go the back half of quarter four into January. And I think that's an encouraging sign.
Jamie Baker - J.P. Morgan: Okay. Excellent. Thanks, gentlemen.
Dave Barger: Thanks Jaime.
Operator: The next call comes from Bill Green with Morgan Stanley. Please go ahead.
Bill Green - Morgan Stanley: Hi. Good morning. Given the cost pressures including rising fuel, do you think maybe it's time to revisit the first seed bag question?
Dave Barger: Just a headline Bill and good morning. It's, our position right now with the second bag, we feel very good about it. And are we looking at the different levers we can pull? You bet. But we have not had discussions recently in terms of what do you do with the first bag. We're pleased with what's happening, the customer reception to it. People understand what's happening from our product perspective. And as you'll note in the comments today with fuel surcharge that we've put into place, this is another lever that we added into the Puerto Rico markets, the Caribbean markets as well. So, it's the rising cost of energy is certainly not lost on us in terms of what makes sense to share some of those expenses with our customer base.
Bill Green - Morgan Stanley: Yes. I would think just something that affected most of the customers would be more effective rather than just some of the customers in non-U.S. markets but how about in the first quarter? Do you have an estimate for the cost of the storms? And in your CASM guidance for the first quarter, can you remind us if the comparison with last year will exclude any one-time charges from SABRE?
Ed Barnes: Hi Bill. Morning. The storm really didn't have a meaningful impact on first quarter CASM for the most part. That was all absorbed in the fourth quarter. I'll wait to see how many more storms we have this quarter. On the comparisons to last year, they did include the one time cost from last year. They also include some of the one timesavings from last year as well. In the first quarter of last year we tended to relax a lot of our marketing events just to, what we knew would be a difficult conversion period.
Bill Green - Morgan Stanley: Okay, so none that you don't feel there was sort of an elevate CASM level last year?
Ed Barnes: There was a slightly elevated CASM level certainly but it wasn't as significant because there were some offsets to it.
Bill Green - Morgan Stanley: Okay. Thank you for the time.
Dave Barger : Thanks Bill.
Operator: Your next question comes from the line of Duane Pfennigwerth with Raymond James. Please go ahead.
Duane Pfennigwerth - Raymond James: Hi. Good morning, guys.
Dave Barger: Good morning.
Duane Pfennigwerth - Raymond James: Just wondering in your January PRASM, was there any carry over from sort of December passengers that couldn't get out in December?
Dave Barger: No, that wasn't a significant part of our January PRASM guidance.
Duane Pfennigwerth - Raymond James: Okay. Thanks and just with respect to the pipeline for additional airline partnerships? Wonder if you could comment at this point who is your largest contributor and maybe not from a contribution perspective at this point but are there other airlines in the pipeline that you foresee partnerships with as probable that are similar in scale as to an American?
Robin Hayes: Hi Duane. It's Robin. I'll take that. In terms of airline partnerships, that has something that thing that we haven't broken out to date. For the foreseeable future we won't do that. I think, I would say we're very pleased with the, all the partnerships we have to date. As we look into 2011, Dave made a comment in his remarks earlier that our plan is to announce our next partner within the next month. And as I look ahead at 2011, I wouldn't be surprised if we closed 2011 with a further six partnerships or so.
Duane Pfennigwerth - Raymond James: And any commentary on perhaps the size of those airlines? Are there any whales in the pipeline?
Robin Hayes: At the moment that's not something that we choose to get into
Duane Pfennigwerth - Raymond James: Thanks.
Dave Barger: Thanks Dwayne. Look forward to seeing you soon.
Operator: The next question comes from Hunter Keay from Stifel Nicolaus. Please go ahead.
Hunter Keay - Stifel Nicolaus: Thank you. Good morning.
Dave Barger: Good morning.
Hunter Keay - Stifel Nicolaus: I'm wondering if you guys can give us some specific measurable goals that we can look for in 2011? What are your goals that you can share with us and how the current capacity plans supports that? So is it to be free cash flow positive, integral earnings, is it top line, is it market share? Anything that you can quantify for us?
Ed Barnes: Good morning, Hunter. I think certainly when you go into the year planning for free cash flow, obviously fuel has escalated quite significantly in the current period. So we'll have to see how oil behaves through the rest of the year and maybe how revenues react to that. Other goals that I would provide and then Dave and Robin, you may have some Robin you may have some input here as well but just to continue to build on our strength in Boston and build on our strength in the Caribbean so that's a lot, as I said before, a lot of our capacity increases in a beat.
Dave Barger: Yes Hunter and I think, obviously as the industry looks at return in capital and plenty of discussion on that. Free cash flow and so even versus the plans that we had resolved by the board at the end of the December timeframe, right the cost of energy. It went up above 90 back to 86, 87 today but (inaudible) moving. So that's some of the leverage that again we look at like the fuel surcharge that we put into play. And these different levers that we can pull. So specific leadership goals, certainly the financial metrics are very, very important to us and whether it's operating margin, ex Fuel CASM and free cash flow but this leadership team is also focused on customer metrics and crewmember metrics as well. So that's how we grow our business and in tandem, I should say with all three components, of the investors as well as the customers and the crewmembers being in really part of this three-legged approach.
Hunter Keay - Stifel Nicolaus: Okay. Thank you for that color. Maybe one for Robin. I'm going to try and press some more on this business travel stuff. Robin, maybe can you try to provide a little bit of color on how much the improvement that you're seeing in business travel is maybe due to your own specific market share gains versus just an overall rebound because some of the other carriers right now that are still business travel, very heavy business travelers, still reporting year-over-year growth in the 20% to 30% range still. So are you exceeding that clip or is this just sort of participation a broader industry trend?
Robin Hayes: You know, I think it's both Hunter and I can't break that out for you. I think the Boston story is the story that's very unique to JetBlue. That is a market where we are putting a lot of focus and effort into. In fact, I'm hoping to leave here today and head up to Boston where we are part of an event tonight with 150 company's that are based in Boston. I think clearly in Boston that we are seeing some significant market share gains above and beyond what we're seeing in the industry. I think as I look across the rest of the network where most of what we take. Actually, more of what I call a spill business traffic. I think they're, what we're seeing is more sort of a lean to the way the general industry shifts are rising.
Hunter Keay - Stifel Nicolaus: Okay. Great and one last question. When was that fuel surcharge implemented?
Robin Hayes: That was filed this week.
Hunter Keay - Stifel Nicolaus: Great. Thank you.
Dave Barger: Thanks Hunter.
Operator: The next question comes from Gary Chase from Barclays Capital. Please go ahead.
Gary Chase - Barclays Capital : Morning everybody.
Dave Barger: Morning Gary.
Gary Chase - Barclays Capital: Wanted to see if I could ask Robin to follow up a little bit on December. You talked about, or Ed did in his prepared remarks about some of the issues that you ran into in November. As you approach the December peak, did you have that issue resolved? I mean if you kind of x out the storm, were things progressing better in December or you still didn't have that quite right?
Ed Barnes: No, I think if I look at December and I put the storm impact to one side. I think we saw some fair activity on the transcom going into the peak that we didn't expect that we had to respond to. And I think on Florida, we were probably more optimistic than we shareholder should have been about our ability to price into that peak. I think we've learned from that. I look at Presidents Day into February, personally I'm very pleased with the way that's building. And I think, what some of the issues around the November December peak took away from, I think was some of our very strong success in building into the trough into those two months, which have been previously a tougher period for JetBlue.
Gary Chase - Barclays Capital: Then if I could shift gears for one, again Ed about the other revenue and expense lines combined. I'm wondering, as you look into 2011 if we should be thinking that there's a story there with LiveTV. The other expense certainly was lower than I was thinking it would be for the fourth quarter so I'm wondering if the activity level at LiveTV is winding down a little bit? And we'll see that affected in both of these line items or whether there was some other issue that might have helped on that item for the quarter?
Ed Barnes: Yes. I can't think of anything specifically in those line items related to why we think LiveTV continues to be a very good business for us. They continue to work on the installations on the Continental fleet. I mean that's going very well so I don't think any specific color that I would give.
Gary Chase - Barclays Capital: So, no decline in the rate of activity with Continental?
Ed Barnes: No.
Gary Chase - Barclays Capital: Thanks very much, guys.
Dave Barger: Thanks Gary.
Operator: The next question comes from Dan Mckenzie from Hudson Securities. Please go ahead.
Dan Mckenzie - Hudson Securities: Thank you. Good morning everybody.
Dave Barger: Morning Dan.
Dan Mckenzie - Hudson Securities: Following up on the LiveTV. I know that you guys tabled plans to take it public but given the recovery in the capital market, is that something that you're reconsidering?
Ed Barnes: Well I think right now Dan we're very focused on completing our commitment to the Continental Airlines, now United Airlines. In figuring out what they want to do with what is now a mixed (inaudible)? The second thing I would mention is that in our recent announcement of our partnership with ViaSat and offering a new product there. So I think there's plenty of things to grow that business right now and we're not really focused on (inaudible) itself.
Dan Mckenzie - Hudson Securities: Understood. And then, I guess for my second question if I could shift gears a little bit. Following up on the San Juan growth comments. AMR is downsizing San Juan by 35% the second quarter and obviously you guys have picked up on that. And I guess looking at that, I'm wondering if that city makes more sense as a regional focus city rather than say Ft. Lauderdale or Orlando, given South West's merger and AMR's buildup at Miami and Spirit's buildup at Ft. Lauderdale and or I guess to ask the same question more differently, given the San Juan's opportunity, does that change your level of commitment to fairly crowded markets in Orlando and Miami?
Robin Hayes: Yes. Hi, it's Robin. Ill take that. I think they all serve different purposes. If we look at Orlando it's really a market that people fly into it. It's a destination and it seems to be a market that performs very well for us whenever we fly it. Our flight south from Orlando is fairly limited. Markets like Costa Rico, Bogota, which also perform well. Ft. Lauderdale, again another very strong market for JetBlue and really only plans to grow that. Really San Juan I think we have plans to grow this market anyway. It's a very successful market for us. I think America's decisions to pull down capacity, I think it will only really help maybe speed up what would have happened anyway. It continues to be a very strong market for us.
Dan Mckenzie - Hudson Securities: Okay. Thank you
Dave Barger: Thanks Dan.
Operator: The next question comes from Helane Becker from Dahlman Rose & Co. Please go ahead.
Helane Becker - Dahlman Rose & Co.: Thank you very much, operator. Hi gentlemen.
Dave Barger: Good morning, Helene.
Helane Becker - Dahlman Rose & Co.: So can you update us now, the business has shifted so much. Can you kind of give us your capacity by region, number one? And number two, can you say from a geographical standpoint where your next interline partner is coming from or if you don't want to be that specific, can you just mention the geographies that you would like to be in generally speaking? Thank you.
Robin Hayes: I'll take that. It's Robin. In terms of capacity, your first question. First, as we look into next year, I think you can look at Florida, Transcom and our Latin America business as sort of the three largest chunks. And then the rest combined to kind of make up the 100%. So, Florida you can expect probably over 30%. Transcom will probably be slightly under and then Latin America will probably grow to about 25%. 2011, in terms of geography I'm not going to be specific. I think that what we are trying to do though is connect customers into our core networks and so if I look at JFK, if I look at Boston to market today, we have a partnership with South African Airways into Washington Dulles. And we've just moved out situation in Orlando to a different part of the airport, which is going to allow better international connectivity down there. And on the West coast, if I look to LAX you'll see opportunities there. Without being specific on the geography you'll see us build partners that help us connect into our core focused city market.
Helane Becker - Dahlman Rose & Co.: Okay, can I just follow-up with that on the LAX specifically, that market. Does your interline agreement with American include that market?
Robin Hayes: No.
Helane Becker - Dahlman Rose & Co.: Okay. Thank you. So anything you did there, you would have to have a separate agreement with American for or is that agreement expandable?
Robin Hayes: I think it would be a different discussion with American. At the moment the focus with American being very much focused on New York and Boston. There are a number of airlines that fly into LAX that I think would make good partners.
Helane Becker - Dahlman Rose & Co.: Great. Okay. Thank you for your help. Have a nice day.
Dave Barger: You too Helene. Thanks.
Operator: The next question comes from Glenn Engel from Bank of America-Merrill Lynch. Please go ahead.
Glenn Engel - Bank of America-Merrill Lynch: Good morning.
Dave Barger: Morning.
Glenn Engel - Bank of America-Merrill Lynch: A couple of questions. One, can you give me what the Caribbean-Latin gains were in the fourth quarter?
Ed Barnes: No, we don't break that out by region.
Glenn Engel - Bank of America-Merrill Lynch: Two, can you give me what JetBlue.com sales were the fourth quarter versus what they were a year ago?
Ed Barnes : Nice try, but we don't break that out by region either.
Glenn Engel - Bank of America-Merrill Lynch: On the cost side, when do the maintenance cost PRASM start to level out?
Dave Barger: Hi Glenn, good morning. I think, obviously our fleet continues to age. Aircrafts come off of warranty so I think we're going to see escalations this year that look a lot like last year. And I think we're looking more towards 2012 to 2013 as they kind of start to moderate a little bit more.
Glenn Engel - Bank of America-Merrill Lynch: So what's driving the big rate of cost acceleration in 2011 then?
Dave Barger : Well I think that there's a couple of things that. You know it's really kind of some of the one-time investments that we made last year really having a full year impact this year. So we spent the last two years making some investments in our crewmembers, making investments in our infrastructure, incurring some additional distribution costs and I think all of those are starting to level off a little bit more.
Glenn Engel - Bank of America-Merrill Lynch: Okay. Thank you.
Dave Barger: Thanks Glenn.
Operator: The next question comes from Will Randow from Citigroup. Please go ahead.
Will Randow - Citigroup: Good morning.
Dave Barger: Good morning.
Will Randow - Citigroup: Wanted to get on January and February that you mentioned. Just wanted to get a sense of one, in terms of capacity growth in the next quarter, is it pretty constant, I call it up 2% year-over-year per month? And then also, just thinking about it a bit differently you said the comps get pretty hard in March and if I look at the multi year comps is it possible for March to be in the negative territory for PRASM year-over-year?
Robin Hayes: Hi Will. It's Robin. Yes, I would assume that it's sort of capacity quarter one, you should look at that as fairly consistent. I think the comp does get harder in March for a couple of reasons. One we don't have some of the favorable SABRE comps that we're seeing in January and February, run into March. Secondly, both Passover and Easter have been slipped well into April whereas last year, we had some of the outbound travel for those holidays in March. As we look at the rest of the year, then some of the comps do get harder as you get into quarter two and quarter three but I wouldn't expect March into negative territory.
Will Randow - Citigroup: Appreciate that. And then just in terms of, Dave on the business model. Are you starting to rethink things like seating density and reducing your order book respectively just so you get a little more capacity and lower cost to improve as well as, you mentioned business, are you thinking about a priority security line, like Terminal Five for instance?
Dave Barger: Well to follow-up on that last comment on things like priority security. Yes we are and that's the way that we can further add value with a bundle product, if you will. Such as with EML. So there’s other enhancements that we can roll out now that the TrueBlue program was rolled out last year. That changed what we're doing with EML. As we're now having priority boarding for this group as well. So yes, we are looking at that, not at Kennedy but at other locations. I think that would be a very nice benefit for the consumer. I think in terms of the business model Will, no the business mode we believe is working. And from the standpoint that, I don't mean that in an arrogant sense. Of course we're focused on metric. We're a much younger company, I think than many other company's that are there with the assets that they've been deploying over decades. When you look at our competitive landscape and we're now successfully into our second decade so I think that RIC, free cash flow, the business model and the business model not just domestically or across the America's, as we call it but also now into six continents with our interline partners. And the 150-seat capacity on the 320, we believe is a real good fit for us. We think the 100-seat capacity on the 190's a good fit for us. I mean we're real excited about things like wing (inaudible) and let's see what the new engine option could mean on the Airbus. But I think from a density perspective, we're quite pleased with what we're seeing.
Will Randow - Citigroup: Okay and if I could just slip one in on priority security? What are the timing of some of those initiatives when you start making decisions?
Robin Hayes: Hi Will. It's Robin. We successfully introduced early boarding for our Even More Leg Room customers from the first of September and that's been received extremely well. We probably needed to allow six months to let that settle down. What I'd say is the teams are hard at work to bring this priority security product to market at selected airports. I think we'll be able to give you more news on that in a couple of months.
Will Randow - Citigroup: Okay. Appreciate the time. Thanks guys.
Dave Barger: Thank you, Will.
Operator: Today's last question comes from Kevin Crissey from UBS. Please go ahead.
Kevin Crissey - UBS: Good morning. Thanks for sneaking me in here.
Dave Barger: Sure. Good morning.
Kevin Crissey - UBS: If I think about it maybe in terms of same store, not your growth markets but the markets you've been in for a while, what percentage of them lose money at this fuel price and how long do you give them before you think about reduction of capacity in those markets?
Dave Barger: Kevin, I tell you and good morning. We're pleased with the cities that are part of our network. And so I think we've built a model that's quite (inaudible) with oil at this level as it moves north, as the forward curve is showing. And so apparently with 63 locations, we've announced as well 64, with the Turks and Caicos, Seasonal Anchorage as well as Martha's Vineyard. And so again, from the standpoint of our business model, our cost of energy, our cost structure, feel good about the contribution that we're seeing across the network so, granted this is, a couple of years ago we had experience with oil at $147 and change but it's a different ball game altogether but really quite well positioned with a band around the current price of energy and higher.
Kevin Crissey - UBS: Okay. Thank you
Dave Barger: Sure.
Operator: That was the last question. Please go ahead with any final remarks.
Dave Barger: Thanks Christine. I'd like to thank everybody for joining us today as we reviewed the fourth quarter and 2010. Also, for our crewmembers who are listening or on archive, we look forward to seeing you at our state of the airline conference taking place on February 8. Thank you and have a great day. Thanks Christine.
Operator: You're welcome. Thank you for participating in today's JetBlue Airways fourth quarter and full year 2010 earnings conference call. This concludes the conference for today. You may all disconnect at this time.